Operator: Good afternoon. Good morning and welcome to Camden’s Third Quarter 2016 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please also note, today’s event is being recorded. At this time, I would like to turn the conference call over to Ms. Kim Callahan, Senior Vice President of Investor Relations. Ma’am, please go ahead.
Kim Callahan: Good morning and thank you for joining Camden’s third quarter 2016 earnings conference call. Before we begin our prepared remarks, I would like to advise everyone that we will be making forward-looking statements based on our current expectations and beliefs. These statements are not guarantees of future performance and involve risks and uncertainties that could cause actual results to differ materially from expectations. Further information about these risks can be found in our filings with the SEC, and we encourage you to review them. Any forward-looking statements made on today’s call represent management’s current opinions, and the company assumes no obligation to update or supplement these statements because of subsequent events. As a reminder, Camden’s complete third quarter 2016 earnings release is available in the Investors section of our website at camdenliving.com and it includes reconciliations to non-GAAP financial measures which will be discussed on the call. Joining me today are Rick Campo, Camden’s Chairman and Chief Executive Officer; Keith Oden, President; and Alex Jessett, Chief Financial Officer. Since there are two more multifamily calls scheduled this afternoon, we will be brief in our prepared remarks and try to complete the call within one hour. We ask that you limit your questions to two then rejoin the queue if you have additional items to discuss. If we are unable to speak with everyone in the queue today, we’d be happy to respond to additional questions by phone or e-mail after the call concludes. At this time, I’ll turn the call over to Ric Campo.
Richard Campo: Thanks, Kim. Today’s pre-call music by Maroon 5 was chosen by with the help of Neil Malkin from RBC Capital. You may recall that Neil was the winner of a Camden trivia contest for – from one of our prior quarterly calls. The selection of Maroon 5 by Neil’s is a reminder that that musical preferences are largely generational. At Camden, we have a large number of awesome Texas A&M graduates, including Malcolm Stewart and Michael Gallagher, and they thought about this long and hard the school colors of A&M happened to be in maroon and white. When I told Malcolm and Michael that we are having Maroon 5 on today’s call, they looked at me confused and asked why would we want to have the Texas A&M basketball team on our conference call. You can’t make this stuff up. Our operating results for the third quarter and the year have been in line with our business plans. Our teams did very well managing operating expenses during the quarter and we realized savings in several areas, including property taxes, and Alex will give you more detail on that later in the call. We completed our 2016 disposition program in September and have no properties in the market today. Our capital recycling program has increased the quality of our properties and future revenue growth prospects through the sale of nearly $3 billion in properties, that represent nearly 40% of our portfolio, these properties were – had an average age of 25 years old. This was accomplished with very little dilution as a result of the historically narrow cap rate spreads between older properties and newer acquisitions. We have been a net seller for the last three years. And we continued to believe that capital recycling has really transformed Camden’s portfolio and positions us very well for the future. We made significant progress on our development pipeline during the quarter and have fully funded the remaining cost to complete as a result of our dispositions. I want to thank our Camden teams at the properties and our support offices for their great work this quarter and for their commitment to improving the lives of our customers one experience at a time. I’ll turn the call over to Keith. Thanks.
Keith Oden: Thanks, Ric. We’re very pleased with our results for the quarter. Overall conditions remain above trend. And for the second straight quarter, sequential revenue growth was 1.6% with all markets positive for the quarter. From an operations perspective, we’re particularly pleased that all of the planned $1.2 billion in dispositions were completed by the end of the third quarter. Transaction volumes of that magnitude can be a big distraction to our onsite teams. But I’m very pleased with the outstanding job of our real estate investment and operating teams did in managing this effort. A few highlights from our same-store results. The third quarter revenue growth was 3.7%. The top 11 of our 14 markets averaged 5.8% revenue growth, led by Orlando at 7.4%, Dallas 7.2%, and both Tampa and San Diego at 7.1% growth. As expected, our three weakest markets combined contributed just slightly positive revenue growth for the quarter of 0.2% with Houston down 1.1%, D.C. up 1%, and Charlotte up 2.1%. All three markets are facing an increase in supply with the – with only D.C. creating sufficient employment growth to absorb the new construction deliveries. Camden’s D.C. revenue growth improved for the quarter, but is still being impacted by construction at one of our Maryland communities, which comprises 9% of our same-store D.C. revenues. Excluding that community, D.C. revenue growth would have been 50 basis points higher at 1.5% growth for the quarter and 1.0% flat year-to-date. Charlotte revenues rose 1.7% sequentially, despite continued pressure from new lease ups. Regarding Houston, revenue growth was negative again in the third quarter, down by 1.1%. We do expect further weakening in Houston in the fourth quarter. Last quarter, we projected Houston full-year revenues to be flat to down 1%. And based on our reforecast for the fourth quarter, we believe revenues will be at the low-end of that range. The 0.1% decline in our same-store revenue guidance for the full-year from 4.1% to 4.0% is almost entirely attributable to a weaker outlook for Houston. The most recent data we have indicates a total of 23,000 apartments to be delivered this year, with the majority of that coming in the third and fourth quarter. With employment growth this year projected to be in the 10,000 to 20,000 range for the year, deliveries will add significant pressure on occupancy and rental rates. 99% of the 23,000 completions in 2016 are coming from merchant builders, who have a very different capital structure and strategy, as to how they respond to disruptive market conditions. Let’s just say that patience is not among the virtues of merchant builders. In recent weeks, many lease up communities in Houston have moved from two months free rent to three months free rent, as they compete for an increase – for increasingly limited traffic. So the behavior of merchant builders is somewhat akin to a herd of wildebeest. Things look pretty calm in the herd until one wildebeest gets spooked, which causes a massive stampede. It seems as though that herd got spooked at some point in the last 30 days, and as everyone knows, it’s very hard to unspook the herd. Fortunately, we’ve been to this movie a few times over the last 30 years, and we’ve positioned ourselves well to minimize the damage. Longer lease terms and more aggressive renewal and retention efforts instituted last year had certainly helped. We believe, 2017 is going to be another tough year for Houston, as job growth remains weak and another 10,000 merchant built apartments are delivered. We are in the process of putting together our 2017 forecast, which we look forward to sharing you with – sharing with you on our next call. A few observations on our operating stats for the quarter. In the third quarter, new leases were up 2.3%, with renewals up 5.6% for an average increase of 3.7%, roughly 100 basis points below third quarter 2015 results. October new leases are trending up basically flat, up 0.1%, renewals are up 4.8%. November and December renewal offers are being sent out at about a 5.5% increase, and our portfolio-wide occupancy rates have remained strong at 95.8% in the third quarter, up from 95.5% last quarter. Net turnover rates for the third quarter were 57%, down 700 basis points from last year’s 64%. Move outs purchase homes were actually down to 14.7% versus 59% last quarter, while the year-to-date rate was 15%, up slightly from 14.3% in two 2015. Finally, I want to acknowledge our onsite teams for their excellent performance through three quarters. We’re on track to have another strong year of outperformance relative to our regional budgets, keep up the good work, and let’s finish strong in the fourth quarter. I’ll turn the call over to Alex Jessett, our Chief Financial Officer.
Alex Jessett: Thanks, Keith. Before I move to our financial results, I’ll provide a brief update on our real estate activities. In the third quarter, we completed $484 million of property sales, successfully completing our 2016 disposition activities. These final third quarter sales bring our total disposition volume for the year to nearly $1.2 billion. The average age of the full-year dispositions was 23 years, and they were disposed of it at an average AFFO yield of 5.1%, based on trailing 12-month NOI and actual CapEx, equating to a nominal NOI cap rate, which excludes management fees in CapEx of 6.1%. The unleveraged internal rate of return for 2016 dispositions was 11%, with an average hold period of 17 years. Approximately, $200 million of our third quarter dispositions were completed later in the quarter than it originally anticipated, contributing to our third quarter positive FFO variance, which I’ll discuss later. Additionally, in the third quarter, as a result of our disposition activities, we paid a special dividend of $4.25 per share. On the development front, during the third quarter, we stabilized Camden Glendale in Southern California, completed construction at Camden Victory Park in Dallas, and began construction on Camden Washingtonian in Gaithersburg, Maryland. Additionally, we purchased 2.4 acres of land in Denver for future development. Our balance sheet remains very strong with debt to EBITDA of 4.2 times, a fixed charge expense coverage ratio of 5.3 times, secured debt to gross real estate assets of 12%, 74% of our assets unencumbered, and 93% of our debt at fixed rates. We ended the quarter with no balances outstanding on our unsecured line of credit. $414 million of cash and short-term investments on hand and no debt maturity until May of 2017. During the third quarter, the strengths of our balance sheet was recognized by one of the rating agencies as Fitch upgrade our senior unsecured debt rating to A-. We do not anticipate prepaying any portion of our current debt, given the high penalties that would be incurred. Instead, we plan to use our cash balances and future sales proceeds if any to fund our development pipeline. Our current $820 million development pipeline has approximately $213 million remain to be spent over the next two years. And we’re projecting another $100 dollars of developments to begin construction later this year. And finally, before I move on to our operating results, a brief update on property taxes. The majority of our assessments and rates are now in, and we have settled the majority of our prior year appeals. Almost uniformly, rates and assessments were positive to our forecast and we had great success with our prior year appeals. As a result, we now anticipate our full-year 2016 property tax expense will be up 3%, as compared to our original budget of 6% for our savings of approximately $3 million. Moving on to financial results. Last night, we reported funds from operations for the third quarter of 2016 of $104 million, or $1.13 per share. These results were $0.04 per share better than a $1.09 midpoint of our prior guidance range. The components of this $0.04 per share outperformance are approximately $0.01 per share, resulting from previously mentioned later than anticipated sales date on approximately $200 million of our third quarter dispositions. Approximately, $0.005 per share in lower same-store property tax expense, resulting from a combination of lower rates in assessments and higher property tax refunds from prior years. Approximately, $0.005 per share in lower non same-store property tax expense resulting from a prior year property tax refund in Washington D.C. Approximately, $0.01 per share in lower other property expenses, driven primarily by lower personnel and unit turnover costs. Net turnover for the third quarter of 2016 was 700 basis points below the same period last year, and approximately $0.01 per share from a combination of other miscellaneous income items. Our new Camden technology package with Internet service is rolling out as scheduled and for the third quarter contributed approximately 95 basis points to our same-store revenue growth, 175 basis points to our expense growth, and 50 basis points to our NOI growth in line with expectations. Last night, we also provided earnings guidance for the fourth quarter of 2016. We expect FFO per share for the fourth quarter to be within the range of a $1.12 to $1.16. The midpoint of $1.14 represents a $0.01 per share increase from the third quarter of 2016. This $0.01 per share increase is primarily the result of the following. A $0.025 per share increase in FFO due to growth in property net operating income comprised of; a $0.04 per share increase resulting from an approximate 3% expected sequential increase in same-store NOI, driven primarily by our normal third to fourth quarter seasonal decline in utility, repair and maintenance, unit turnover and personal expenses, and the timing of certain property tax refunds. In the fourth quarter, we anticipate approximately $2.5 million of prior year property tax refunds resulting from our successful property tax appeals. A $0.01 per share increase resulting from the NOI contribution of our five developments in lease up during the quarter, a $0.015 per share increase, resulting from the normal third to fourth quarter seasonal increase in revenues from our Camden Miramar student housing community, and a $0.04 per share decrease due to the loss NOI from our $484 million of dispositions completed in the third quarter. This $0.025 per share net increase in FFO will be partially offset by a $0.015 per share decrease in FFO, as a result of lower fourth quarter non-property income and higher corporate overhead costs. Based on our year-to-date operating performance, we have revised and tightened our 2016 full-year revenue, expense and NOI guidance. We now anticipate full-year 2016 same-store revenue growth to be between 3.9% and 4.1%, expense growth to be between 2.3% and 2.5% and NOI growth to be between 4.8% and 5%. The new midpoints represented 10 basis point reduction for revenue, a 135 basis point improvement in expenses, driven primarily by lower property taxes, unit turnover costs, salaries and utilities, and a 65 basis point improvement in net operating income. We’ve also revised our full-year 2016 FFO per share outlook. We now anticipate 2016 FFO per share to be in the range of $4.61 to $4.65 versus our prior range of $4.50 to $4.60, representing an $0.08 per share increase in the midpoint. Our revised full-year 2016 FFO guidance assumes no acquisitions or dispositions in the fourth quarter. At this time, we will open the call up to questions.
Operator: Ladies and gentlemen, at this time we’ll begin the question-and-answer session. [Operator Instructions] Our first question today comes from Nick Joseph from Citigroup. Please go ahead with your questions.
Nick Joseph: Thanks. I appreciate the color on Houston. For the merchant built product in lease up, what percentage of the units do you think have been leased? And then what do you see in Houston transaction market in terms of any product coming to market in any movement in cap rates?
Richard Campo: So on the merchant build, it’s really difficult to pin down that number, because some of them are still in lease up from the prior year. A lot of the deliveries for 2016 ended up getting delayed beyond what they originally projected. If I had to pick a number, I would say, of the 23,000 apartments delivered this year since, a big percentage of those would be delivered in the third and fourth quarter. On average, you’re probably 25% to 30% leased in that – of that group. You do still have some that would have carried over from being 2015 – late 2015 deliveries that are later in their lease ups. It’s kind of hard to get a handle on it, because they’re – the – that – we don’t really have great reporting about actual percentages on – percentages leased. They’re pretty secretive about that information. But what we do have, I’m guessing, it’s 25% to 30% of that group. On cap rates, there haven’t been a lot of trades. There have been some and the cap rates generally have been around 5. So we have not seen if that sort of question is about where have cap rates risen and where the trades doing on – doing today? They really haven’t risen, per se, but there hasn’t been a lot of transaction volume. There’s some value-add that’s happened that’s pretty much in line with what the cap rates were in the past. I will tell you though that there are some new developments that are in the market that have finished leasing up, or are trying to lease up. And the interesting thing about those cap rates is, I think those cap rates have actually compressed. And you might think that’s counterintuitive for this part of the cycle. But what’s happening is, people are looking at the real estate saying, gee, what’s the cap rate today and what is the cost associated with that real estate in a very tough environment when you’re in a lease up environment? And so what’s happening is, people are looking more at what is replacement cost and what is the premium to replacement cost they’re paying and we’ve seen some cap rates on deals that have just gone to contract in the 4 – in the very low 4s. But when you look at them from a pure cost to replace perspective, people are going to start thinking more about that than they are about cap rates. And then the question is, when you think about their underwriting is what’s probably changed and that when they try to get a, say, a 6, or a 6.5% unlevered IRR, the growth rate for their – the next couple of years is going to be either negative or low. And then they expect a recovery to try to get back to their unlevered IRR. But I think trades are going to be more based on replacement costs than they are going to be based on cap rates and that’s generally what happens in markets, where you have dislocation of supply.
Nick Joseph: Thanks. And then, I guess, with the tech package you mentioned the 95 basis points benefit to same-store revenue growth in the quarter. When does that benefit disappear? And then is there any benefit to 2017 from that program?
Alex Jessett: Yes. So the full-year guidance that we gave for revenue from the tech package is 100 basis points. So when you think about, they are basically what we’ve have been running each quarter this year, and so the fourth quarter should be no different. And then, if you sort of continue to think about the ramp above it, we’re just over about 35,000 units signed up today. We’re getting about 5,000 units done at quarter, and we will get almost our entire portfolio signed up by the time it’s over. So we should continue to have some incremental positive impact going into 2017.
Nick Joseph: Thanks. And then last question on the cable portion of the tech package, is there any risk to Camden, or a potential risk to Camden from people cord-cutting, if you guys guarantee a certain number of units will subscribe, are there any other corporate guarantees or risks to that program?
Richard Campo: No, not really, because we have the ability at various points to unbundle with our providers. So we have belt and suspenders around our contractual agreements with the underlying, with the cable providers. Now on the flip side of that is, the question is, what about people who maybe want – they intend to be cord cutters. They have a bundled technology package with cable. And the reality is that the prop – the value proposition for our residence for high-speed Internet at 100 megabits per second, which is stellar, the value proposition for the high-speed Internet alone for most of our residents is enough for them to say, this is a good deal for me. And then in addition to that, they obviously get the cable, and it’s always on. You don’t have to deal with the installation and all the other things. So, I mean, I can’t tell you that out of 100,000 residents that we don’t have a couple a handfuls that when we roll the program out, say, I cut the cord, and I don’t want – I don’t need or want high-speed Internet and the bundling bothers me. But I can tell you that the overwhelming majority and I’m talking about 97% of our residents are – look forward to and sign up in advance of their lease rolling over when it’s offered at their community. So, yes, there’s probably some of the margin we missed, but the 97% that sign up and love the program, the rest of it is just background noise.
Nick Joseph: Thanks.
Richard Campo: You bet.
Operator: Our next question comes from Jordan Sadler from KeyBanc. Please go ahead with your question.
Austin Wurschmidt: Hi, it’s Austin Wurschmidt here with Jordan. Just sticking on the tech package piece, you mentioned that you’ll continue to have the benefit in the 2017, as you continue to roll that out. But I was just curious if there’s any additional upside from call it, like a round 2 of increases on the initial that have already been rolled out?
Richard Campo: So we have the ability to increase rates kind of at a market level within our contract. We’re not tied to any particular rate with the underlying providers. So our strategy on that will probably be to mirror the increases of the underlying cable providers. Fortunately, for our – in our case, we signed – we got fixed rate agreements in some cases five, in some cases seven years. So we don’t have much risk on the underlying cost increasing. But as the retail value of the package increases and we’re already at a pretty significant discount to the retail value of the package, we obviously have the ability to continue to move cable rates up.
Austin Wurschmidt: Great. Thanks for that. And then you guys have previously talked about the land bank kind of winding down around 2018. Any additional markets you’re looking at to add land backfill for future development starts?
Richard Campo: Well, we have enough land to take us through sort of 2018. And then we – in our plan, we have land being acquired to be able to continue the development pipeline at sort of the $200 million to $300 million a year range, assuming the market conditions allow for that. And we will be looking for new land to be able to put in the pipeline over the next year or so. We still love the markets we’re in. I would say, we probably err towards – we have some pipeline in Florida and California. And ultimately, we just acquired a project in Denver. So we look at all of our markets. We take a hard look at what the macro in the mid-term sort of view is and are looking in all the markets we’re active in today.
Austin Wurschmidt: And as you think about continuing to prefund new development starts, what do you view as your most attractive source of capital? I mean, could we continue to see you guys opportunistically sell assets?
Richard Campo: Absolutely. When you look at the spread, so our average AFFO, the spread between our AFFO rate on dispositions and acquisitions is about 27 basis points on this last book of business. And when you look at the spread between older asset and the new development, it’s a much, much wider gap obviously. And so the challenge we have, however, is that we are limited by the amount of sales we can do, because we sort of maxed out our taxable income issue with respect to paying futures – future special dividends. So there’s a limit on the ability to fund – to sell assets to fund development. But fundamentally, we think it’s a great trade. Obviously, you have short-term dilution when you do, because you’re putting cash on the balance sheet and giving up the cash flow. But when you look at the massive spread that you get between the old versus the new and the ability to create more value in your portfolio from an ongoing growth perspective, it makes a lot of sense too.
Austin Wurschmidt: Great. Thanks for taking my questions.
Operator: Our next question comes from [indiscernible] from CPT. Please go ahead with your question.
Unidentified Analyst: Just wanted to ask about your comments on Houston in the 23,000 units of supply this year, 10,000 next year. What you’re seeing in the job market today, kind of, what demand does that translate into units of absorption, so kind of think about versus that supply pipelines you talked to?
Keith Oden: So we’re currently using about a 10,000 to 20,000 job gain this year. And the math that we’ve always used is five new incremental jobs that get created creates one net market rate multifamily demand. So with 20,000 jobs at the top end of the range, you could absorb 4,000 apartments, and we’ve got 23,000. So therein lies the problem for, and the problem is, as I mentioned in my prepared remarks, is primarily a merchant builds problem, because they are – they got – when they began to lease up, they begin at 0% occupied. And we are just in a very different situation vis-à-vis that competition, because we start at 95% occupied and we have to play defense. And we’ve been playing defense for the better part over the last year-and-a-half. So it’s baked in that 2000 – unless something dramatic happens in 2016, we’re going to have way too many apartments and not enough jobs to absorb them. If you look out into 2017, again, most estimates have job growth next year, and we’re using an average of the three providers and it gets to about 35,000 jobs. So in that math, you should be able to absorb 7,000 apartments. The problem is, we got another 10,000 coming next year and there’s no – that that’s pretty much baked in the cake as well. So you’ve got – you’re going to have an overhang of apartments this year from 2016. You’re going to make it a little bit worse than 2017, but getting closer to an equilibrium. And so the disruption that has to happen is the finding the market clearing price for probably what ends up being 18,000 apartments that we don’t have natural demand for in job growth.
Richard Campo: You do have some natural demand that’s coming from sort of the urbanization of Houston, where you have properties that have been built that didn’t exist before high-rises larger units in some of the prime locations, including downtown and the Galleria. There’s a fair amount of sort of the baby boomers moving from this the burbs into the urban poor and that densification that’s going on, but it clearly is not enough to fill that gap that Keith described. I think the interesting part of that is, the good news is, we know pricing has already come down, the two to three months free in some of the toughest markets. And what that does is the great thing about apartments is that, price elasticity is great. The lower the price, the higher the demand for the product. And so what’s going to happen is, you’ll have some acceleration of the urbanization that’s going on, especially in the downtown area. You have these 40 story brand new buildings with infinity pools on the 40th floor offering three months free today. And what that allows is the, when you start getting the pricing down to more affordable level for the millennial, they’re going to move into those properties, and they couldn’t afford them to start with when they originally had performance say at 3 – $2.75 to $3 square foot rent. So on the one hand that demand will be increased by virtue of the price elasticity for apartments. And ultimately, as they fill up after we should see a significant drop in the completions in 2018 and 2019. And if energy prices hold at $50 or higher, the energy companies are basically done laying people off and could actually start to ramp up in 2017, 2018 and 2019. And – but 2017 definitely is not going to be a year that that is going to be a seller’s year for Houston, it’s going to definitely be much more difficult than 2016. But I look forward to 2018, 2019 and creating some serious value then.
Unidentified Analyst: And just on your response to the increased and concessions took three months from developers, what you guys do for your existing product to keep that occupancy?
Richard Campo: Well, we’ve had to – yes, we’ve had to get more aggressive obviously on our new rental rates. I mean you’ve got to do two things. You have to close the back door. So that means focus like crazy on retention renewals, which we’ve done and by the way we started that process in the middle of last year. I mean, this has been known and knowable for us anyway for, at least, 18 months. So, first of all, you’ve got to play great defense and we’ve done that. We’ve been very aggressive on lengthening lease terms, so that we can get them beyond what we think the maximum period of stress is, and then we’ve worked on retention. So – but that doesn’t for the people that are new and the people that are shopping, you’re going to have to adjust your pricing, which we have already done that. In the last two months, our new lease rates that we’ve signed on average in Houston are down 5% to 6%. And if you roll that forward into the fourth quarter, we’re probably looking at something closer to down 7% to 8%, so that equates to one month free. Now, we don’t do month –we don’t do free rent and – because it’s all yields to our pricing, it’s just not effective rent pricing. But on an apples-to-apples basis, the new developers by and large are in the two to three-month range. And stabilized operators like Camden have adjusted their pricing to basically down a month from what it was a year ago. So you don’t have to meet their pricing, because they have a – again, they have a very different task ahead of them than we have. They’ve got to get from o% occupied to 95% occupied and we sort of just have to hold serve at 95%. And the way we – so if you think about the math at a Camden community and the reason our pricing doesn’t adjust and doesn’t have to adjust to what the merchant builders are doing. So take it a typical 300 apartment – 300 home community in Houston, we’re going to renew about 60% of those residents. So we know that from history and that’s what we’ve been doing for the last year. So that’s a 180 of them. So that means, you’ve got a 120, you’re going to have to sign a 120 new leases over the course of 12 months. That’s 10 leases per month. So what we talk to our onsite staff about is quit worrying about all the noise about two and three months and go find, you have a month, every month to find 10 people who want to live in an awesome location with the best management team in the city of Houston. So you just got to find 10 of them, and that’s what their mission is every month. So very different than what the merchant builder guys are facing and we’re – that’s what we’re focused on.
Unidentified Analyst: Thank you very much.
Operator: Our next question comes from Rich Hightower from Evercore ISI. Please go ahead with your question.
Richard Hightower: Hey, good afternoon, everyone.
Richard Campo: Hey, Rich.
Richard Hightower: So, I appreciate all the good color on Houston with respect to supply and everything else. My question here is, could you kind of walk us through the cadence of supply deliveries, not only in Houston, but maybe for the top three or four markets in your portfolio next year, just across and yes…
Richard Campo: Yes. So on Houston, we know we’ve got 23,000. They’re going to be delivered this year. It’s going to be back-end weighted. And my guess is that 15,000 of those are coming in the second-half of the year, probably got 8,000 plus or minus in the first-half of the year. So the lease ups will roll over into next year. But in terms of new completions next year, we should get 10,000 plus or minus. My guess is that, if there’s delivery say, they are slated for the first and second quarter, there’s – we still have lots of issues with labor and getting units turned. So they’re probably going to slip. You’re probably going to have a little bit of a back-end bias to the 10,000 apartments next year as well. So and again, we’ve given you that the employment growth numbers, so that’s sort of the challenge that you have there. If you flip over to this, our second largest – our largest market in Washington D.C. very different picture there. Certainly, on the supply side, it’s more manageable than Houston. But more importantly, in terms of job growth in 2016, it looks like, the D.C. market will – is going to deliver about 70,000 jobs this year. Total deliveries we expect to be about 9,000 apartments roll forward to 2017, it looks like on an average of our data providers about 65,000 new jobs and again roughly 9,000 in new apartments delivered in 2017. And those are pretty good numbers, because if it’s – it would already be – it’s in the pipeline and knowable as far as 2017 delivery. So really D.C. looks like a – it looks very encouraging from the standpoint of supply and demand. You’ve got sufficient in both years job growth at the 70,000 and 65,000 to more than absorb the 9,000 each year that we think is coming. So the third market that is certainly on our radar screen and screen as one of our bottom three is Charlotte. And again, Charlotte’s issue is a pretty decent job growth, but probably just too many apartments that need to be delivered. Let me give you the comparable numbers for 2016 job growth in Charlotte was roughly 25,000, it looks like we’re going to get another 25,000 next year plus or minus. So that would imply 5,000 apartments that would – could be absorbed. And we’re going to get roughly 6,000 – 7,000 apartments in 2016, and it looks like, we get another 6,000 apartments. So slight amount of excess supply. The challenge is going to – in Charlotte will be kind of the location of where that supply is coming. As with all of these markets, it tends to be a little bit skewed towards the urban products. So if you’ve got stuff in – more in the urban areas of Charlotte, you’re probably going to have a little bit bigger impact. But overall, you’ve got 7,000 apartments. We got natural demand for 5,000, that looks to me pretty manageable in Charlotte. So that – so if you – of those three markets; Charlotte, Houston, and Washington D.C., the only one we really have a real gap from what we can see is or believe is coming in absorption as Houston.
Richard Hightower: Okay, that’s helpful, Ric. And then one quick second question here. You guys have had a lot of success on the property tax front this year. Do you expect the year-over-year comp in 2017 to be a bit of a headwind in that respect?
Alex Jessett: So one of the challenges that you always face when you get a lot of prior year appeal refunds in is that, it certainly does make your comp set a little bit harder the next year, and we’ve had obviously a considerable success this year on the appeal side. But additionally and I mentioned in my prepared remarks, we have across the Board seen rates and valuations come down. And the good news about that is, hopefully, that’s indicative of a sort of a mind shift in terms of assessment offices and hopefully, that translates to more of a normal base number for next year. Historically, taxes for us have increased on average at less than 3%. So I think if you sort of think about the base number, I think, we’re back to that sort of 3% range. And then we will have a small amount of headwind or sort of depending upon how it all shakes out associated with prior year refunds that we’ve gotten this year. This clearly has been an outsized year for us.
Richard Hightower: Okay, great. Thanks, Alex.
Operator: Our next question comes from Wes Golladay from RBC Capital Markets. Please go ahead with your question.
Wes Golladay: Hello, everyone. I’m just going back to Houston since you’re all out there. How does the overall business environment feel? It looks like looking at the employment data, Houston had a nice uptick in September, it’s only one data point and doesn’t make a trend, but just almost fourteen-and-a-half-thousand jobs added in the month. Are you feeling any better out there?
Richard Campo: The market feels pretty decent. I mean, the good news is, you’ve had – if you think about Houston, the oil dislocation was, if you measure it just in terms of price and in terms of of dislocation to the energy sector, it was worse than the energy decline in the 80’s. And the difference, however, in the 80’s, Houston lost about 250,000 to 300,000 jobs during that bust. During this situation, we’ve not have not lost any jobs. We actually have added incrementally small numbers of jobs. But that’s on top of or coming off of some really good years. When you think about the last big year in 2013 and 2014, we’re generating 125,000 jobs. So it’s not the sort of like a car going 70 miles an hour down the freeway, and now all of a sudden, we’ve got 20,000 jobs are going 20 miles an hour, instead of 70. So that’s what, it sort of feels like that that kind of speed change. I think the stabilization of oil prices from and the increase from the lows in February today definitely has put a zip in the step of energy folks and you’ve seen the rig count bottomed out and now it’s up 25% from the 400 level, and every new rig that gets put on its 200 employees that goes to that rig, they’re not necessary based in Houston, but it’s 200 employees going to a rig. So most of the energy people that we talk to are pretty much done laying off. They’ve cut as much as they can, and they’re now sort of holding their own and waiting for the recovery. The challenge you have in the job market is that 80,000 jobs that were sort of lost in the energy business. And we’ve offset those with jobs in the medical center, jobs in the petrochemical construction,business and in retail. Those jobs are not as high paying as the energy jobs. So there has been a loss of wages. And you’ve seen a decline in new vehicle sales, a decline in sales tax for the region, and things like that. But generally people feel like the worst is over and they’re going to drag on the bottom for a while, and if oil prices stay at these levels, then they’ll start ramping up. I think the – there was some an energy conference here this week and folks are talking about their budgets for 2017. They cut their budgets 55% from the peak last year and this year and they’re talking about a 25% increase in capital expense budgets from the energy companies as a result of $50 oil. So that would be positive. That doesn’t necessarily translate to big time hiring, because usually it takes a while after you’ve been shellshocked and laid off a bunch of people, you don’t really add them back immediately. And so, we sort of feel decent about it. And so I don’t think, we’re not as worried about the job prospects for Houston, because we know that’s coming and it will happen. And we’re – the big issue in Houston is really just taking up the supply that Keith went through. [Multiple Speakers] Yes. I just want to – I want to bring that back to kind of a multifamily, because we’ve talked a lot about Houston this morning, and I know there’s just a – and there’s a lot of questions and will continue to be questions about what is 2017 look like, and we’re not – while we’re not prepared to really give any numbers on that. I think it is useful to use history as a guide. So in 2010, which was kind of the last time we had a real dislocation in the Houston apartment market, the conditions in 2010. So in 2009, Houston lost $110,000 jobs as part of the great recession. So we were – 2009 was a really bad year for jobs in Houston, as it was for a lot of other places in the country. But at the same time, we delivered 15,000 apartments in 2009, which it’s less than what we’re delivering now, but you were delivering into a job market that was far, far weaker than what we have right now. So what it all that mean for our portfolio in Houston in 2010, you’ve rolled up the 110,000 job losses forward. We’re basically flat on jobs in 2010. We got another 6,000 apartments delivered in 2010. So between 2009 and 2010, we had 21,000 apartments delivered in a much worse job environment, and our revenues in 2010 were down 3.7%. So, we’re going to be down 1% this year. You sort of – if you’re sort of trying to think about framing the overall situation in Houston, to me it doesn’t feel anything. That doesn’t feel as bad to me as 2010 was. So it feels worse than 1% down, which is where we were in 2016, but it doesn’t feel like 2010. So, that’s kind of framing the argument about where we think it’s going to be and obviously, we’ll get detailed budgets and we go through our forecasting process and we’ll get back to you on the – in the first part of next year with where we think it’s going to shake out.
Wes Golladay: Okay, I appreciate that. And Neil Malkin has one question for you.
Neil Malkin: Hey, guys, thanks. You guys just talked about wanting to get into Northern California. I just wonder, given that there’s a lot of supply coming down the pike, growth slowing. I don’t know if asset prices, land values are getting anywhere close to the potential for you guys to make your foray into the northern California area? Thank.
Richard Campo: Well, we like Northern California long-term. And ultimately, I would like to add some exposure in some other of those markets, including the Pacific Northwest. And when you look at where we sit today with one of the strongest balance sheets or maybe the strongest balance sheets in the sector and a big bunch of cash on our balance sheet with no debt maturing, it definitely positions us to take advantage of the cycle. And right now we’re in the – in a – in the part of the cycle that is sort of uncertain. You have declining revenues sort of everywhere. And we’ll see what happens with job growth in the rest of the economy. We clearly are positioned to take advantage of the cycle from a capital perspective when the cycle presents opportunities to us, we plan to do that. When that happens, it’s hard to say. I don’t think it’s happened yet. And as I discussed in Houston, the Houston market, you can’t buy – there are no deals here. And so I doubt that there’s any deals anywhere in America today because of the capital flows and because of the significant equity positions that most merchant builders and other owners of apartments have. So we have no stress here. And I can’t imagine that there’s any stress on the West Coast at all either even though you’ve had some slowdown in growth and supply issues in markets that people never thought you’d ever could have a supply issue and which is sort of an interesting situation even though – so with that said, I don’t think there’s a lot of opportunity yet to do anything.
Neil Malkin: All right. Thanks.
Operator: Our next question comes from Nick Yulico from UBS. Please go ahead with your question.
Nicholas Yulico: Thanks. Just going back to this Internet rebuilding benefits that you get for same-store revenue this year. I’m sorry, did you say at what point that ends next year? And what might be the benefit to, if there’s any to your same-store revenue growth next year?
Alex Jessett: No, I didn’t give any guidance for next year. What I did say though is that, we’ve got about 35,000 units currently rolled out under the program. That number is increasing about 5,000 units a quarter. And when this thing is complete, we will have all of – for the most for all of our units that we own under the program. So I think you can do some extrapolation based on that.
Keith Oden: Some of the units – some of the – our homes are still under contracts and we have to wait until the contract expires. So it’s – I mean, it will eventually get there, but it may not be at the same pace that we’ve been at for the last year-and-a-half. But eventually if you look out long enough on the horizon, we expect to have every home in our portfolio with high-speed Internet.
Richard Campo: And as Keith pointed out earlier, we don’t have a fixed price with our residents. So as the package becomes more dynamic and Internet prices continue to escalate, we’ll be able to raise those prices as well.
Nicholas Yulico: Okay. And so just, I guess, the way to think about it from modeling standpoint is that the like when you get on page 12 of the supplemental, the weighted average monthly rental rate grow – that’s – going forward that’s going to be the more important number than the weighted average monthly revenue per occupied home number, which I guess, includes the cable package.
Richard Campo: Yes. So, correct. The weighted average monthly revenue is what it sounds like, it’s total revenue and so there’s total gross income, all of our other income categories et cetera per occupied unit. And that does compare to the rental rate, which is also on page 12, and that is exactly what it sounds like the asking rents and in-place rents for each unit.
Nicholas Yulico: Okay, got it. Thanks. Just one other question for me is, I mean, you talked about supply impacting some of your markets. I was curious for a couple of other ones like Atlanta, Florida, Dallas, how are you thinking about supply and whether it might be more impactful next year versus year in those markets? Thanks.
Alex Jessett: Yes. So if you roll the employment growth versus deliveries out to 2017, the markets that you mentioned, Dallas probably drops below the 5 to 1 ratio on the total employment to deliveries in 2017. Atlanta is probably still right at the 5 to 1. Austin’s – Austin has actually been below the 5 to 1 historical standard that we’ve always used for the last two years, and often still been one of our best performing market. So I’m actually and have had some conversations with folks about whether or not the 5 to 1 makes is still valid in today’s world of in markets like Austin, where people show up and whether they have a job or not and they find a job. And it’s just an interesting dynamic that we may have to go back and rethink whether 5 to 1 is the right long-term ratio of jobs to new supply. But in our world, the three markets – so the two markets that fall below currently the 5 to 1 that I have concerns about absorption rates out into 2017 are Houston and Charlotte.
Nicholas Yulico: Thanks, everyone.
Operator: Our next question comes from Daniel Santos from Sandler O’Neill. Please go ahead with your question.
Daniel Santos: Hey, good afternoon, everyone. Just a quick question on expenses. I know it’s been a long call. Just thinking about expenses, how sustainable are these savings moving forward and how should we thinking – we be thinking about expenses in 2017?
Alex Jessett: Well, once again, we’re not at the point to give guidance for 2017. What I will tell you is in this year, we’ve been incredibly successful on property taxes. Once again we’ll be at 3% for the full-year. 3% is the average in our portfolio. But part – but one of the factors that’s driving the 3% of property tax refunds this year and obviously that’s uncertain whether or not that replicates itself next year. If you think about the other line items, we’ve had success in salaries. We’ve had success in unit turn costs, a lot of that is driven by the fact that turnover has been down, retention has been up this year. And obviously, we’ll continue to focus on that in 2017. And then one of the outsized increases that’s been offsetting the positives on the expense side is utilities and that’s been driven by the new Internet program. And obviously, as the ramp up of that continues into 2017 and then ultimately plateaus, the expense side of that will as well.
Daniel Santos: Okay. Thank you.
Operator: Our next question comes from Tom Lesnick from Capital One. Please go ahead with your question.
Thomas Lesnick: Hey, guys, thanks for taking my questions. I’ll keep it short since the call is going long, but just two quick ones. It sounds like from a lot of other commentary from other apartment REITs this quarter that D.C. is finally starting to turn the bend, if you will. And I know you guys just recently commenced construction on Camden Washingtonian out in Gaithersburg. I was wondering if you could comment at all on your general prognosis for D.C. and then what you’re seeing inside and outside the Beltway?
Richard Campo: Yes, actually we’re very constructive on D.C. I think it’s clear that the bottom has been in and things are moving in a very positive direction, you’ve got – so in terms of our portfolio for D.C., new leases were basically flat in the third quarter, but renewals were up about 5%. And kind of looking forward into – out into October, new leases still basically flat and October renewals up 3.5%. So our numbers have been dinged a little bit by our Maryland project that we’ve got some construction issues that we’re trying to get wrapped up hopefully by the first quarter of next year. But and if you roll forward to 2017 and 65,000 jobs projected, 9,000 deliveries, those are very healthy numbers. And I would expect that our portfolio would reflect that.
Thomas Lesnick: Thanks for that. Just one last one. You just mentioned the renewal and new lease of release comps for D.C. But for your other major metros, I think, you mentioned the overall number in the prepared remarks. But for markets like Dallas Atlanta LA, Houston, where do those comp stand?
Alex Jessett: Hey, let’s do that offline rather than I have to go through all of those in our last three minutes on the call. We would be happy to give them to you.
Thomas Lesnick: Sure. Thank you.
Alex Jessett: You bet.
Operator: Our next question comes from John Pawlowski from Green Street Advisors. Please go ahead with your question.
John Pawlowski: Thanks. Alex, which markets are you winning the bulk of these appeals and property-tax wise?
Alex Jessett: Primarily, it’s Houston. If you think about Houston, the last two years or two to three years, they had really incredibly outsized increases I think two years ago, they were 34% with the initial increases. And obviously, that gives us tremendous grounds to contest those and we have contested them and we contested them very aggressively, as you can see with the results. But that’s primarily where we’re seeing it.
John Pawlowski: How much are you arguing that property value in Houston has declined?
Alex Jessett: We’re not arguing that at all. What we’ve – what – the basis of our arguments is generally associated with what’s called the equal and uniform. And its based upon making sure that the valuations described to our asset is equal and uniform to the valuations described to neighboring and like kind assets in the market.
John Pawlowski: Understood. Thank you.
Alex Jessett: You bet.
Operator: And our next question comes from John Kim from BMO Capital Markets. Please go ahead with your question.
John Kim: Thank you. On the new lease rate that you will be offering in Houston, how quickly do you think the renewal rates adjust to the new lease rates?
Richard Campo: Well, our renewal rates have consistently been for all of 2016 have been running 4% to 5% above our new lease rate. So I don’t really see any reason that that gap would close much in 2017, depending on what happens to new lease rates in 2017, which we know that they’re clipping along right now at 5% to 6% down over the prior year, renewals are basically flat. I think that looks like kind of what the 2017 certainly in the first part of the year is going to look like.
John Kim: Okay. And then you mentioned in your prepared remarks that you have been a net seller for the last three years. And it sounds like from your commentary that the capital markets are still pretty healthy. But do you envision being a net seller again next year?
Alex Jessett: We could definitely be a net seller next year. The consideration would be, we have about $100 million of sales. We could do without having to do a special dividend, or having to do a 1031 Exchange in doing acquisition. So we have more limitations on that as a result of the sales that we’ve done – so done this year and prior year. So if we obviously looked at the market this year and said that we have historic pricing for the oldest and sort of slowest growing assets in our portfolio. And therefore, we made the decision to sell the $1.2 billion and bank the cash and pay a special dividend to shareholders. And if we have not completed our 2017 plans, but clearly, if we believe that was the case. And when we did our 2016 plan, or 2016 planning in 2015, it’s clearly on the table. We just have to go through the cycle analysis and the pricing analysis, where we’re going to be and then make those decisions.
John Kim: Thank, you.
Operator: And our final question today comes from Dennis McGill from Zelman and Associates. Please go ahead with your question.
Dennis McGill: Hi, thanks for taking one more. Keith, I think you made this comment earlier. And I just want you to clarify, I hope I heard it right. When you were talking about the lease ups in Houston and the merchant builders being aggressive, you made a comment, I think,that they were priced at a level that the renter couldn’t afford to begin with. I just want to go back to that and make sure I heard that correctly?
Keith Oden: I think that’s probably the way you’re thinking about as a comment that I made about price elasticity, okay. So merchant builders starts with zero leased and needs to lease up to a rational number. And so what happens is, they – that’s where they get into these – a very big discounts. It’s just an endemic to the merchant builder mindset. It is if I have a zero revenue, I’m okay dropping my price to the point, where I start getting some revenue whatever that is. And that creates an opportunity for people who couldn’t otherwise afford it. So if you’re at a $3 square foot budget and you can’t lease it at $3 a foot, because you have a lot of competition and you start lowering at 8.3% for every one month you give. Then if you’re giving three months free, that’s a significant discount. And what it does is, it opens the market for a broader demand pool of people who can afford those properties at those levels, right? So it’s not so much that the people can’t afford it, because they can’t. I mean, we’ve been – we’re getting $2.50 to $3 square foot rents in a lot of buildings in Houston today. The challenge is, you just have too many buildings. So the buildings are dropping their rates and try to create that excess demand, or to steal demand from somebody else. And what that has – the effect of that is, it makes those properties more affordable to a broader cast of residents. And I think that’s actually very, very healthy, because what happens then is if somebody who, say a, baby boomer who lives in sugar land who’s thinking about their kids just went to Texas A&M, or maybe University of Texas, they look at the market and go. While I can go into downtown Houston or the Galleria lease up 2,000 square foot apartment that used to be 6,000 a month or 4,000 a month, and I’m going to go do that. And so they sell their house in the suburbs and move into the urban core. You’ve now created demand that didn’t have to be created by jobs. And so that that’s what I was sort of leaning towards. It’s not about that the people can’t afford it, because they can. It’s just that we have too much delivery at the same time and ultimately, they will fill them up and then the rents will rise. If you look what happened in 2010, we were releasing up Camden Plaza, for example, our pro forma rents were about a $1.50 plus or minus a square foot. We ended up leasing it up at a $1.20. And today that leases are at at $2 a foot. So that we had a tough lease up, because it was in that tough time. But once the properties lease up, and you have a stabilization in the market, the rents will ratchet up. And if you take Houston, Texas, for example, from a revenue growth, from Camden’s perspective, Houston, if you take from 2011 through 2016, it’s still the best market in America for Camden on a revenue growth and NOI growth and slightly being flat for 2016.
Unidentified Analyst: Yes, that’s very helpful. Thank you for clarifying. Are there any markets across the country as you see those products being developed at an elevated price points that you are a little bit fearful of affordability, or is this representative of the story elsewhere with that?
Richard Campo: Not in our markets. In our markets, there – we don’t have caps on affordability, especially when you look at our average. Our average sort of rent to income is around 17.5%, 18% plus or minus. And so and historically, it’s in the 20’s. So we still have an ability to push rents pretty substantially in our portfolio and still get to those sort of averages. So we don’t really see it in our markets. I know that there’s some challenges in the markets like San Francisco and New York and elsewhere, but not in Camden’s markets.
Unidentified Analyst: Perfect. Okay, thanks again, guys. Good luck.
Richard Campo: Thanks. We appreciate your time today. I know you have a lot of calls to handle. We’ll talk to you in NAREIT. Thanks. Bye.
Operator: Ladies and gentlemen, that does conclude today’s conference call. We do thank you for attending the presentation. You may now disconnect your lines.